Operator: Good day, ladies and gentlemen, and welcome to today's Ryanair Full Year Results 2013 Analyst Briefing Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to our host today, Mr. Michael O'Leary. Please go ahead, sir.
Michael O'Leary: Okay. Good morning or good afternoon, everybody. Welcome to the Ryanair full year results conference. The details of the full year results, the MD&A, and the shareholder presentations are up on the website at www.ryanair.com. So we'll run briefly to it. I'm joined by Jim Dempsey. I'm in New York, Jimmy Dempsey's in Dublin and Howard is on his way to a phone in London so he'll be joining shortly. As you've seen from this morning's numbers, we announced strong profit growth up 13% to EUR 569 million, which is a record for Ryanair. Revenue rose 13% to EUR 4.88 billion, traffic grew 5% to 79.3 million passengers. Unit costs were up 8% mainly due to an 18% increase in fuel, but excluding fuel, unit costs rose by just 3% reflecting -- while average fares improved by 6%. I think just 13% increase in profit and 5% traffic growth, despite the market characterized by very high oil prices and a recession in Europe is testament to the strength of Ryanair's ultra low-cost model. As I said, fuel cost rose by over EUR 290 million and now represent 45% of our total costs. Excluding fuel, unit costs were up 3% due to excessive and unjustified increases in, particularly, Italian air traffic control charges, Eurocontrol and Spanish airport fees. Ancillary revenues outpaced traffic growth rising 20% to just over EUR 1 billion, a 22% of total revenue. The growth opportunities continue to unfold in Europe. This summer, we opened 7 new bases, in Greece, Netherlands, Morocco, Poland and Croatia, and we've added 200 new routes as we continue our strategy of growing Europe's largest passenger airline. However, with just 9 net additional aircraft and longer sectors, traffic growth this summer will be very modest, hovering typically between 1% and 2% month on month. By grounding fewer aircraft next winter, we expect to deliver slightly faster monthly H2 growth which should mean that overall traffic growth for the full year will rise by more than 2 million passengers to about 81.5 million passengers. We're very pleased with the current rate of forward bookings on the new routes and bases, they're ahead of our expectations. Yields, at the moment, are a little bit fast as they were this time last year, in the dip between Easter and the summer holidays. And this year, that period is longer because Easter was earlier which was reflected in our year-end figures but will also be reflected in weaker Q1 figures. However, we expect the growth opportunities for Ryanair to expand and improve. Our new route teams continue to handle far more growth opportunities from airports than we -- our current fleet expansion allows. Significant growth opportunities are now emerging in countries like Germany, Scandinavia and Central Europe, where many of our incumbent and high fare competitors like Air Berlin, SAS, LOT, Alitalia and Iberia are in significant trouble and their short-haul is subject to very substantial restructuring. We're in active discussions with Nateair [ph], a number of large air traffic growth offers to the new owners of Stansted Airport, to the new management of Dublin Airport and also to the Aena airport monopoly in Spain. And while no agreement has yet been reached, we are offering one, or other of them, very significant traffic growth which could start as early as September 2013, subject to agreement. We expect over the next 5 years to continue to expand, make meaningful market share gains across Europe. In addition to already being the #1 passenger airline in Ireland and in Spain, we have in the last year overtaken Alitalia in Italy and LOT in Poland to become #1 in those markets. We believe our unique, low-fare advantage and very low unit costs, which no other competitor in Europe can match, provides an ideal platform for sustained, controlled and very profitable growth over the next 5 years. That clearly was the reason for the recent 175 aircraft order. As you know we've been kind of negotiating with Boeing, on and off, for about 6 to 7 years. We're pleased to have finally reached agreement on pricing with Boeing. I think the pricing reflects both Boeing's need for new aircraft order in the first half of this year, but also our desire to continue to add, in a controlled fashion, more aircraft over the next 5 years, so that we can grow the fleet from 300 to over 400 aircraft and grow the traffic from 79 million to over 100 million. And I think, and I can't stress enough, that scale of the growth opportunity in Europe, where some many incumbents are cutting, restructuring and, I think, inevitably would be significantly reducing their short-haul offerings. I was disappointed by the EU Commission's February 2013 decision to prohibit our offer for Aer Lingus. We know the reason for that prohibition was that their findings, as supported by evidence from Aer Lingus, at best, the Irish government and Dublin Airport monopoly, that competition had between Ryanair and Aer Lingus, had significantly intensified over the past 6.5 years that you took our minority stake. What makes it the all the more strange and surreal to be involved in a U.K. Competition Commission inquiry in the U.K. where the UKCC are investigating that 6.5-year old stake to see if it has resulted in reduced competition between Ryanair and Aer Lingus. Under the EU Treaty, the UKCC has the duty of sincere cooperation with the EU and cannot make all alternative findings to those recently made by the EU Commission. On that basis, we believe that the existing, the current CC investigation should be abandoned, however, we think it won't be. And we think the UKCC would look stupid if they abandon it, and as what happens to the many of these regulatory issues, we see they continue with their investigation, and we expect them to come up with some kind of bizarre finding whether in the future it may result in reduced competition and according to their side forces to sell them. If they do, we intend to -- well, firstly, we've already appealed the EU decision and that the UKCC must await the outcome of the EU appeal. But if the UKCC comes up with a finding that's contrary to what EU has found, we'll also be appealing that decision in U.K. because it would be in sheer breach of the UKCC duty of sincere cooperation. However, and nevertheless, our position with Aer Lingus remains. We continue to be a 29.9% shareholder. We have, sadly, very little influence over the company, as recently evidenced again by the election of the Ireland biggest trade union boss to the board. Despite Ryanair's opposition, the government decided that he would make a brilliant addition to the board and voted him another 3 years in service. In terms of our own ongoing earnings, as I said, we see a terrific growth opportunity across Europe. Half of the reason for the indiscernible] together with aircraft for pacing with the recent order with Boeing for 175 aircraft. They'll come to us over 2014 to 2019. No other airline in Europe has that kind of scale of aircraft deliveries coming over the next 5 years, not Norwegian, not -- nobody else. And the challenge I think for those other airlines are going to be, how do we grow in the market across Europe where Ryanair is going to be expanding aggressively in the next 5 years? Fuel hedging, again, we remain somewhat on the slightly optimistic. We have extended our so -- our fuel hedging into the first half of 20 -- FY '15 and slightly less than FY '14. We're currently 90% hedged by FY '14 and 98 -- at equivalent of $ 98 a barrel. We're hedging into FY '15 currently at $93. We have going 25% of our H1 requirement hedged, and we said the exchange rate is pretty similar. So we hope that we'll continue to see a kind of 5%-plus decline in our oil cost, but it could be out into 20 -- FY '15. FY '14 were largely hedged at $98 a barrel. And because the currency has slightly moved against us, our unit oil cost would be up slightly in FY '14. Balance sheet remains one of the strongest in the industry. Despite having completed another share buyback and the second special dividend of nearly EUR 490 million in November, we still finished year end with a net cash position -- of a net cash EUR 61 million. And when we would expect over the next 12 months, despite the fact that we'll be making aggressive aircraft deposit payments, that our net cash position should rise appropriately to something of the order of between EUR 500 million to EUR 600 million. In terms of outlook, again, and I know it's difficult for the market, and for ourselves at this of the year, because we have such little visibility over H2, we are confident the traffic will grow this year by some 3% to EUR 81.5 million. That growth would be markedly slower in the first half at around 2% month-on-month, but rise to about 5% month-on-month in the second half as we ground fewer aircraft. Unit cost will increase in FY '14, primarily due to rising oil prices at 3% indiscernible] and further unjustified higher Eurocontrol and Spanish airport charges. However, and I won't highlight -- due to the lower yields, higher fuel cost and the movement of the first half of Easter into Q4, we expect that Q1 net profit next year will be lower than the Q1 last year, again, due to the timing of Easter and some of it moving into the prior year, into the Q4. With almost 0 yield visibility into H2 and EU-wide recession, we expect that there would continue to be downward pressure on yields particularly next winter as we're growing slightly faster during the winter period. And overall, we expect that will dampen full year profit growth. Nevertheless, we are still guiding for modest yield and traffic growth for the full year, being partly offset by higher oil and Eurocontrol costs, resulting in another year of profit growth in FY '14 which, heavily qualified by the winter yield outturns, which could be up, could be down, could see of our profits rise modestly to a range between 470 -- EUR 570 million to EUR 600 million. Howard, are you on the line at the moment?
Howard Millar: Yes, we are, Michael. Apologies, we are caught in London traffic, so we made it in shortly after you started.
Michael O'Leary: So could you take us through the MD&A?
Howard Millar: Sure, yes. And I'll just read through the summary MD&A, which is included in the notes for the financial statements we sent around. So profit after tax increased by 13% to EUR 569.3 million compared to EUR 502.6 million. The EUR 502.6 million excluded the exceptional item of EUR 57.8 million, which related to a change in accounting as is arising from enhancements to our revenue accounting system. The increase in profits is primarily due to a 6% increase in average fares and strong ancillary revenues offset by an 18% increase in fuel cost. Total operating revenues increased by 13% to EUR 4.884 billion, as average fare rose by 6%. Ancillary revenues grew by 20%, faster than the 5% growth in passenger numbers to 1.064 billion due to a combination of improved product mix and the rollout of reserve seating across the network. Total revenue per passenger, as a result, increased by 8% whilst load factor remained flat at 82% compared to the previous year. Total operating expenses increased by 12% to EUR 4.165 billion primarily due to an increase in fuel prices. The higher level of activity and operating cost associated with the growth of the airline and the strength of sterling to the euro. Fuel, which now represents 45% of total operating cost compared to 43% in the prior year, increased by 18% to EUR 1.885 billion due to the higher price per gallon paid and the increased level of activity in the period. Unit costs excluding fuel increased by 3%. And including fuel, unit cost rose by 8%. Operating margin increased by 1 point to 15%, whilst operating profit increased by 16% to EUR 718.2 million. Net margin remained flat at 12% compared to previous year. Basic earnings per share for the period was EUR 0.3945 per share compared to EUR 0.3410 per share, an increase of 16%. Balance sheet, gross cash increased by EUR 43.4 million to EUR 3.559 billion. And gross debt fell by EUR 127 million to EUR 3.498 billion. The group generated cash from operating activities of just over EUR 1 billion, EUR 1.0234 billion, which funded the net capital expenditure of EUR 311 million, a dividend payment at the end of last year of EUR 492 million of debt repayments and a EUR 68 million share buyback program which we did in April of 2012. As a result, the group has moved to a net cash position of EUR 61 million at the end of the financial year. After that, I'll hand you back to Michael.
Michael O'Leary: Okay, thanks, Howard. Okay, it's time maybe to open up to questions and answers, please.
Operator: [Operator Instructions] We will take our first question from Jarrod Castle from UBS.
Jarrod Castle - UBS Investment Bank, Research Division: Two questions, if I may. Just, one, you mentioned Germany, potentially, as a market which you look to do more in, can you comment whether or not seeing any change in the competitive position given Lufthansa's restructuring, especially Germanwings? And indeed, has there been any increase in competition from the flags across markets where they've tried to restructure, i.e., Iberia in Spain, Air France, et cetera? Then secondly, can you maybe just quantify what the benefit was in March given the change in Easter and what the, I guess, the impact going into 2014. And just, if I may, just lastly, anything that you can say in terms of Eastern European expansion?
Michael O'Leary: Okay. Thanks, Jarrod. You covered German market, I mean, what we tried to communicate today isn't as difficult, don't get caught up in the geography. But we're dealing with more growth opportunities than we could possibly handle. I think one of the key changes in the last 12 months of this year has been our opening up of new route at some of the bigger German airports which 2 years wouldn't even talk us. So we're now opening routes to Cologne, Nuremberg, Dortmund, which were always very substantial German airports. There where all the gigs [ph] rely on their -- particularly domestic business from Lufthansa and Air Berlin. Air Berlin are going through a very painful restructuring, mainly focusing on very meaningful cuts in their short-haul capacity. They're down by kind of high-single-digit figure this year, which means Lufthansa also -- the 55th restructuring of Lufthansa's short-haul, now moving some of their short-haul flights from the Lufthansa-branded Germanwings. We don't know if it's much competition, certainly on price from either Air Berlin or Germanwings. But what German airports are seeing is meaningful cuts in Lufthansa and Air Berlin's short-haul capacity and traffic. They're beginning to see traffic declines at some of these bigger airports that haven't seen a traffic decline for 10 or 20 years. And they're recognizing that the only real player -- other player in the German market is Ryanair. So this summer, you've seen us open new routes afterwards what I'd call secondary but very large German cities. And we expect that, which despite the impact of the German travel tax, and are coming up with very attractive growth offers in order to encourage us to put more capacity or to link their cities up to some of the international destinations we already fly to. We don't really, to be honest, lose much competition from the flag carriers. Whether they dress it up as a restructured Alitalia or SAS, or as if a redesigned, rebranded Germanwings in Germany, or a kind of a HOP, god help us, which seems to stand for higher operating prices. And in Spain, you have the failing of the Iberia Express. It really masks a really deep and meaningful cuts in the flag carriers' short-haul capacities. I think when your say for Air France to admit that their short-haul operations is losing EUR 700 million, I think CityJet was reputed -- I've seen somewhere which was lost more than EUR 50 million last year, like a EUR 1 million a week. These are some of the unsustainable losses, particularly as those flag carriers are now waking up to the -- are realizing the enormous stress it puts on their long-haul and connecting traffic by the gold[ph] carriers. And I think, rightly, they're focusing on the competitive section in the golf [ph]carriers and their solution to the short-haul market would be to increasingly cutback their capacity and traffic in short-haul markets. That puts enormous downward pressure on traffic as many of these other city airports, and they're turning to Ryanair looking for that kind of -- looking for a solution or to at least staunch these traffic losses. It's very good you get quantify, Jarrod, on the second part of the question, how much it is due to the movement of Easter but there's certainly, in my view, if you look at our 5 69 today, there are certainly 20, 20 -- maybe up to EUR 20 million of that Q1 profitability have moved from Q1 back into Q4. It could to be slightly higher. It could be slightly less. It's not an exact time. But there would be a meaningful dip in the Q1 profits when we get to Q1 of something of that magnitude. And growth in Eastern Europe, yes, we're continuing. Again, it kind of reflects where we are. We're looking at very meaningful growth opportunities in countries like Poland, the Baltic States, in particular, the Czech Republic, Slovakia. And again, we have more growth opportunities than we can handle, which is, i.e. if they're trying to communicate anything today, it is that there's an enormous opportunity for us and for our shareholders, I think, over the medium term to expand Ryanair off a unique unit cost platform that no other airline in Europe can touch. But we have made the same kind of traffic growth offers today to a number of the German airports, a number of Spanish airports to stand for them to Dublin. If all of those airports were to agree to terms in our proposal to date, we wouldn't able to handle that growth for about 3 or 4 years. So whoever kind of steps up first would likely win the -- get the immediate traffic growth and the others, they should -- they have to wait in line.
Operator: Our next question from Stephen Furlong from Davy.
Stephen Furlong - Davy, Research Division: Just first of all, in terms of the growth for the summer-winter, I mean, you're obviously growing faster in the winter ungrounding aircraft. Just kind of go through maybe the decision on that of ungrounding aircraft given fuel prices are still high. Assuming there's a growth potential there and you're also signaling the sector length going up, so maybe you can just talk about some of the routes where you think that maybe the seasonality can be balanced out a bit in terms of the route profile. The second question, just on, more maybe for Howard, in terms of aircraft financing, have you talked more about how the deliveries will be financed, or is it going to be through predelivery, through cash or through other sales in east pacs [ph], et cetera?
Michael O'Leary: Stephen, let's deal with the first one, winter growth. I mean, look, we don't have any alternative this summer because we have very -- so much capacity growth, we have very little alternative other than to deliver most of our headline traffic growth in the winter. I would, however, point to the fact we have been constraining and therefore causing traffic and capacity at the expensive airports like Dublin and Stansted in recent years. The kind of airports we're talking to, whether it's Dublin or Stansted, or AENA's Spanish airports or Polish airports or even German airports, our airports who are currently suffering a meaningful decline in particular, short-haul traffic, if you look at the total Aena airports over the last 6 years in Spain, now mainly because they've doubled, say, the airport charges in a mad kind of political decision, but to fatten up Aena for privatization. Those are airports that would very much lend themselves to kind of winter traffic growth, they're not-seasonal, they're not kind of sun operations. We, can and will -- we're not going to kind of suddenly unground all 80 or 100 aircraft. We're just going to ground fewer aircraft this winter by something between 50 to 70, where at last [indiscernible] hundred. That helps so both to pave the way for some continuing modest traffic growth, it helps us to address the concerns of certain airports whether we could give you this deal, can you deliver growth? And we will deliver that growth. There'll be a higher rate of churn within the group network over the next 12 months as we pave the way for the resumption of fairly meaningful growth from 2014 onwards and we start into the next cycle of deliveries of 175 aircraft. So we'd be growing in the winter. Yes, the oil price would be high, but they're meaningfully lower than they were 2 winters ago when they first spiked up to kind of $120 a barrel. And we've been expanding into markets where just the meaningful capacity adoptions in the last number of years, so we think it's -- the sensible way to grow. The sector length will significantly, while not to it, they'll be up 3% this year, again. That's partly a churn away from, say, Spanish domestic routes in the last 12 months, where Aena doubled the airport charge, particularly to 2 big airports, Madrid and Barcelona, we've closed a lot of those short-haul, domestic routes because we're not going to pay those kind of airport charges. It also reflects we're going to have a big expansion this winter of -- we've announced 12 routes from Scandinavia down to the Canary Islands where there is a uniquely counter-seasonal or counter-seasonal market where the Scandinavians all head to Canary Islands. But those are 5 and 5.5-hour routes. We're going to kind of change the crew integration for the winter to enable us all to do that, and that will pose a real kind of competitive challenge to the Norwegian, which has had that market to itself for the last number of years. We're also adding 2 bases in Morocco this year, Fez and Marrakesh. So there's been a slight jump in the route profile, but it's by virtue of calling short-haul routes for airports or governments that are overtaxing short-haul flights and expansion to some of the longer markets where for the last number of years, other higher unit cost and higher sort of competitors like Norwegian have had markets to themselves. We want to offer to people lower fares between Scandinavia and the Canaries for the winter. Howard, do you want to deal with the aircraft financing?
Howard Millar: Yes, Stephen. We pretty much planned to finance the predelivery payments from our cash, given we've got some strong cash flow over the coming years. In terms of the debt financing, we had traditionally used U.S. government export credit financing. We did our bond last September which we did at 1.6%. The fees associated with getting that credit guarantee have gone up. And that means, although it's still available to us, we would probably see it as a backstop-type financing. So expect for the coming deliveries, we'll probably look at the range of products. Firstly, we're very interested in the EETC market, to be in some developments there. The first of the non-U.S.-based carriers have commenced financing there. I think there's a few attractive options in terms of EETC. Given the prices that we pay for the aircraft and the structure of that, we think we'd see some very attractive pricing. We could look at some straightforward gas, and the other instrument we would look at closely is JOLs, Japanese operating leases, which we have done some before. We have a strong presence in that market. And also, uniquely, they will financial those in euros which is clearly very attractive to us. And then one of the other alternatives then would be saying a leaseback-type transaction. And that would be largely dependent upon the appetite of the leasing companies, whether they're competitive with the other sources of finance. And finally, which is something we may consider as well, perhaps using some cash to fund aircraft themselves. One of the things we're looking at in terms of the EETC structure is whether we need to get rating or not and having certainly unencumbered assets on the balance sheet which certainly enhance a rating. So we got our 4 or 5 moving parts there in terms of the financing of the future deliveries, and we probably start to kind of put up some of that in place between September and December of this year.
Operator: We will take our next question from Alexia Dogani from Liberum Capital.
Alexia Dogani - Liberum Capital Limited, Research Division: I have 3 questions, please. Just firstly on the unit cost of fuel up 3%, can you describe through what's happening with the Eurocontrol charges given you said that the sector length is going up by 3%? Then my second question, I wonder if you could give us some feelers to the fuel cost increase quarter-on-quarter and whether the EUR 200 million increase is evenly spread? And then my final question relates to -- I think you were quoted, Michael, as saying that you're interested to bid for the Gatwick clubs of flight B. And I just wondered what your thoughts were when you are in an airport and you're quite a small player, do you think you can still extract sort of the natural yield available from that airport? Or does it hinder you because you are a small player with a small market share?
Michael O'Leary: I think I'll take the last part, but I'll let Howard give you the cost or the fuel cost answer. Just touching on kind Gatwick, I think Gatwick is a kind of unique situation. We're not particularly small in Gatwick. I think we're about the fourth or the fifth largest airline in Gatwick despite the fact the we don't have a base there. The point is I think the -- what's attractive about the flight B class is that they're generally for a riser classes of aircraft that are not based in Gatwick. Gatwick is talked about first in the morning. We have 57 bases all over Europe. We submitted a bid [indiscernible] for the stock. I think there'd be a material opportunity for us there. I know it's relatively small in our overall universe, but we could connect Gatwick to a number of our European airports if our offer is successful. But we're not going to pay through to roof for the [indiscernible] like we don't have to own a lot of Gatwick. If we get them at the price we've offered, we'd be very happy to take them, and I think we can make a very profitable use of them. Remember, the opportunity in Gatwick arises because you're competing with 2 airlines, British Airways, whose average short-hauls there is north of kind of EUR 200 and easyJet, whose average short-hauls there is almost or double that of Ryanair, and they're at 60% higher on their average short-hauls fare, kind of the short-haul fare is about EUR 48. We calculate easyJet's, about EUR 82. And our unit cost are almost double Ryanair's as well. So even allowing for the slightly more expensive cost of operation in Gatwick Airport, we think we would, one, provide a real competition to BA and easyJet at Gatwick; and two, we could connect Gatwick to a number of our other European bases. However, I caution that the primary focus of our growth in London, I think, for the next number of years will be in Stansted. We -- I think the arrival of MAG has been something of a breath of fresh air over there. At least, there's somebody you can talk to who wants to grow the business where [indiscernible]for the last number of years, hasn't wanted to build the business at all. That doesn't mean we necessarily reach agreement on the current discussions, but at least, we're talking to people who know how to run an airport and who seem to really want to build the airport. Howard, do you want to take the unit cost and the fuel cost question, please?
Howard Millar: Yes, in terms of the -- I'll deal with the last one first in terms of fuel. Overall, we're forecasting a EUR 200 million increase in fuel cost. That spread, EUR 40 million in Q1 and Q2 and about EUR 60 million in Q3 and Q4. So EUR 80 million in the first half of the year, with EUR 120 million in the back half of year. In terms of their unit cost, there are 3 real key drivers in terms of unit cost, somewhat, obviously, has to do with the stage length, and within that, we have route charges. Of the increase, which we would estimate at about -- just under EUR 1 per passenger or EUR 0.90. About nearly half of that is coming from Eurocontrol charges. That reflects a longer stage length, but also the kind of mix and structure of our routes this year and also a Eurocontrol increase charge as well. So there's 3 moving parts to that. And the other smaller element then, less than half, we have a slightly higher salary cost. You recall that we've got a 2% increase in salary cost, and the other one then is we got higher airport charges in places like Spain, where airport charges will increase by about 8%. So they're the 3 moving parts to the increase in the non-fuel unit cost.
Michael O'Leary: See, Alex, I mean, for example, the Italian ETC charges quadrupled last year, but I mean there's just no justification for it. But you very much have these European countries out there doing this kind of fiscal grab and for not imposing a passenger tax on air travel, but out there quite -- maybe the prices quadrupled out of nowhere, the Spanish ATC fees. Aena and Spain has more -- has increased their airport charges by an average of 300% over the last 5 years. Now it's resulted in huge declines in their traffic base, but it does far more damage to the likes of Alitalia in Italy than those from Ryanair, the likes of Iberia in Spain than it does from Ryanair in many ways. I think speeds up the growth opportunity that exists for us which is why we need the new aircraft order.
Operator: We will now take our question from Geoffrey Collyer from Deutsche Bank.
Geof Collyer - Deutsche Bank AG, Research Division: Three quick questions, if possible. Can you split out the proportion of the ancillary growth that's come from reserved seating and just remind us where you are in terms of share of the plane that's available for now? And then just a quick follow-up on the hedging front, how much of FY '15 fuel do you think that you'll be able to hedge over the next 12 months?
Michael O'Leary: Geoffrey, we cannot get into splitting the individual ancillary revenues. So I won't give you an answer to the split, how much of it is accounted for by the reserve seating. However, reserve seating and the other feature, which is priority boarding, are both growing strongly, which is why we've been expanding the reserve seating cabin now gone -- originally, it was 3 rows. It then moved to 6 rows and now it's up to 8 rows for the summer peak period. What's been interesting about the rollout of reserve seating is for those people who can book the front 2 rows, the front 3 -- or 3 front rows, 3 overly negative for now the 2 rear rows. Instead of -- now concerning what you said is it was going to simply cannibalize priority boarding, but these were all the people who were buying priority boarding, and what's been very interesting is it hasn't. There has been some decline in priority boarding, but generally speaking, reserve seating, where people pay kind of a pay EUR 10 [indiscernible] to pre-reserve their seat is a more expensive than priority boarding. There's still a reasonable slug of passengers who don't want to reserve their seat, but do want the priority boarding service so they can board in advance of all the other passengers, and that there's a meaningful combination of the 2. In terms of hedging out to FY '15, if you can tell me what will happen in terms of oil pricing over the next 6, 12 months, and then I'll tell you how we expect to do. I think it's reasonable, but over the medium terms, the next 2 or 3 years, to view that oil prices will moderate and hopefully decline. You have U.S. energy independent being forecast, stocks are at all-time highs. But anytime everybody is trying to forecast it, we've been wrong. I think what the numbers this morning show was that we can still be very profitable with oil averaging about $100 a barrel, and I think it's reasonable to assume. I would be disappointed if you don't get to the half year numbers in November and don't have most of FY 2015 hedged out at about EUR 95 a barrel or lower. But you'd able to kind of -- you'd have to take your old view on where oil is going, where our yields are going out into second half of this year.
Operator: We'll take our next question from Damian Brewer from RBC.
Damian Brewer - RBC Capital Markets, LLC, Research Division: Two questions. First of all, just -- I want to get a feeling. If we do see even fuel prices, where they moderated, but still relatively high, increasing distress in some of the weaker second-tier European carriers, how much flexibility do you have to flex the return of the existing 737-800 fleet? What's the cost of that? And is that the limits of the capacity of the business or is there a personnel and training issue that limits the growth there and how you balance those? And then the second question, and I guess this might have some technical ESOPs question around it, but Scandinavia Canaries is almost 6 hour sectors, which is almost the same and in some cases, slightly longer than the sort of extreme U.S. North East to Ireland. Are you still intent on staying a sort of European and near-European carrier or is that a market you would look at?
Michael O'Leary: Damien, I think what's interesting in the play, in many respects, I think even if fuel prices moderate in something like the lower mid-90s, most of your flags and the second-tier carriers are just losing so much money, where you take last SAS, Alitalia. I mean, the real issue, I think, there's real reason of speculation some those airlines may disappear. I don't think they'll disappear personally. I think governments will continue to find ways to provide enough state aid to keep them alive, but they'll keep them alive with a much lower short-haul -- much smaller short-haul operation. That will be the focus of the restructurings. I think what's interesting if you look at what we have done in IAG by taking majority control of Vueling, it gives the IAG now the opportunity to transfer a lot of Iberia's short-haul sign effectively into Vueling by allowing Vueling to, say, open up a base in Madrid. And I think there would be that kind of -- those kind of restructurings, but it would materially reduce the scale of Iberia's short-haul operations in Spain, and we will contribute to be the beneficiary of those kind of restructuring. Same in Germany, Berlin increasingly looking towards seeding into the hub in the Middle East, but cutting out the kind of a lot of the short-haul sign by doing both intra-Germany and intra-Europe. Up in Scandinavia, I mean, SAS is a complete basket case. And I don't see -- I can't see SAS disappearing, but I think they're going to be meaningfully smaller in the short-haul marketplace for both intra-Scandinavian and from Scandinavia to Europe in the next number of years. And that's the market that we intend grow very aggressively in Norway, Sweden and in Denmark, where we are in advance discussions with a number of the airports up there for really meaningful cost reductions. Our ability to grow in those markets will not -- I mean, really, we -- we're pretty flexible with all kind of aircraft coming off-lease. Yes, we can extend the leases, but that's relatively small in terms of total capacity. I think the opportunities would still be -- if you take our -- the 175 aircraft orders, net-net, if we don't sell any aircraft ourselves and just return the existing leases, the fleet over the next 5 years and grow to about 450 aircraft. Remember, but the more distress that there is Europe, and I think to an extent in North America, the more you'll see second hand aircraft. I mean, you fly to Dublin airport at the moment, and a bundle of airbuses are still sitting there or those that should have been returned to lessors from India, Eastern Europe carriers and those kind of guys. So I think the more distressed they would be, the more -- we may also add some short-term leasing opportunities, where, there, the lease rates are cheap and we can negotiate sensible redelivery conditions. But the growth -- our growth from, 80 million to 100 million, 110 million or 120 million passengers over the next 5 to 7 years, really, will depend on whether we can extend the existing leases. It could fundamentally be by -- come here by lining up to the aircraft order and the outcome of our ongoing discussions with Boeing. We have a high-level team working on another order where we would focus of much more on the Max, and whereas we've set that -- that team is targeted to report back to us before the end of this year. I think there's the cost potential, but I wouldn't put any stronger than that for a follow-on order with Boeing, if Boeing needs to kind of -- in that kind of business, from -- an order that might be a mix of more MAGs and MAXs .But we'd be opportunistic about only where we can reach sensible price agreement to Boeing. And the trans-Atlantic, by the way, I think it's always better off in Ryanair, whereas by talking of the right trans-Atlantic opportunity, it will never be in Ryanair. Ryanair will not be going across the Atlantic because the first thing we want to be on the plane would be all the pilots and the cabin crew so they could be arising around the airport 3 and 4 days right there, high fare, loss-making competitors. If we -- I think there is an opportunity to do a European U.S. trans-Atlantic low-cost. But the more you look at the backlog of Boeing and Airbus deliveries in long-haul and the crazy scale of the order book they have primarily from the Middle Eastern carriers, I think for the moment, I don't see there being an opportunity to pick up a fleet at a reasonable pricing. But then bubbles burst and bubbles explode, and there's an opportunity cropped up because 1 or others of the Gulf carriers didn't make it over the next number of years, then that might emerge, but really, it's wrong to view that at Ryanair. I said if we did it, it would be some kind sister company or some related company, but would never ever be Ryanair. And by the way, sorry, the reason for that is because the growth opportunities in Continental Europe across Europe are so extraordinary at the moment in my view for the next 5 years where we have the aircraft orders and the competition are blowing their brains out. And that nearly all of them, including right up to easyJet, admitted they can't compete with us, which is [indiscernible] I smile at a number of European airlines whose first statement to the market is, well, we don't really operate in the same space as Ryanair, which is really kind of a translation that we can't compete with Ryanair. So trust me, we won't try.
Operator: You will take our next question from Jim Parker from Raymond James.
James D. Parker - Raymond James & Associates, Inc., Research Division: Just a couple of questions here. One, regarding maintenance, it appears that it was up pretty sharply in the fourth quarter year-over-year. I'm not sure my numbers, since you don't breakout fourth quarter in your report, but I'm breaking it out. Was there something unusual about maintenance in the fourth quarter?
Howard Millar: Jim, yes. We did some hand backs. We're getting ready for the hand backs with some overhauls during the period. So there's kind of a net settlement at the end of that period so it was a kind of an adjustment related to those hand backs...
James D. Parker - Raymond James & Associates, Inc., Research Division: And, Howard, how much of that might be one time fourth quarter that doesn't recur?
Howard Millar: Maybe -- you should be expecting it, Jim, in the coming year to rise at about 6%, so that would be in line with the growth in the activity and the longer sector length. So typically, that will track about 6%.
James D. Parker - Raymond James & Associates, Inc., Research Division: Howard, if you have a 3% increase in sector length, how much additional fuel per passenger, is it 2%? Or how much is it, that fuel gallon per passenger?
Michael O'Leary: Yes, we expect our unit cost for fuel, cost per passenger this year was EUR 23.8 per passenger. We expect that to rise by about 7% per passenger next year to about EUR 25.4 per passenger, an increase of 1.7. The 7% has a couple of different components. Firstly, obviously, we've got the longer sector length, which is about 3%. On top of that, Dan, we have the movements, the exchange rate movements between the dollar and the euro, and that's probably about 7% adverse. Our average rate which is just over 1.38 and this year, it's just under 1.31, so that's given us about 7%. So if you took the total of those together, that's 10%. However, our cost per barrel is slightly cheaper. It's about 3% less. So the net of those 3 is about 7% on a per passenger basis.
James D. Parker - Raymond James & Associates, Inc., Research Division: Okay. Michael, you talk about all of the market opportunities available to you in Europe. Historically, you have expanded on the basis of where you could get the best airport deal. Have you shifted that thinking more to, let's go where the market is best? Are you still looking at primarily at cost?
Michael O'Leary: No, we'll continue to look primarily at costs, and we would readily hand over any geographic strategy if the cost opportunity came up. But I think what we're trying to communicate, particularly on the roadshow, is the scale of the opportunities that are currently unfolding in Germany, in Scandinavia, in Dublin, in Stansted, in Spain. Really, we have far more -- and what drives those opportunities is active negotiations with airports. Airports who are really seriously worried about their existing short-haul traffic, which is declining, and how they can reverse that. And I think their analysis has generally led them to view Ryanair as the only show in town. There's no point in talking to flags about short-haul. They don't have any growth. There's not a lot of points of talking to easyJet or Norwegian either. They seem to be focused on obtaining slots at the expense of airports, where they can be 25% cheaper than the flag, but they're still 40% and 60% more expensive than Ryanair. So I think there's a real opportunity there, and we see that opportunity in the scale and the pace of airport negotiations that are ongoing at the moment.
Operator: We will take our next question from Tim Marshall from Redburn.
Tim Marshall - Redburn Partners LLP, Research Division: Just a couple of questions. The fuel price is one thing, but is there anything that you can do in order to reduce your overall fuel burn? Is there some sort of strategy that you can put together, which can just reduce the amount you use? And then the second question, perhaps for you, Howard, was there an FX impact on yields in the March quarter? I guess, if we look at the progression of yields through the quarter with Easter in March, I might have expected for the yields to slightly stronger than they were.
Michael O'Leary: I think as head of our fuel management department, Howard should answer both parts of that question, Howard?
Howard Millar: Thank you very much, Michael. In terms of fuel, yes, we have been -- we have a kind of fuel management team now. They've been in place for about 15 or 16 months. And one of the things we have started when we started this at the back-end of last year was look at flying the aircraft slightly slower. So by reducing speed, you save fuel. We've also had a kind of couple of other measures, which I don't particularly want to go into in depth with you, but a lot of them involve the tactical planning of how we operate our flags. [Technical Difficulty]
Operator: Pardon the interruption. Mr. Dempsey has disconnected on the call at this time.
Michael O'Leary: Sorry. This is Michael here. I've been cut off from the call as well as far as I can tell.
Operator: We currently have a Mr. Michael O'Leary and Howard Millar connected to the conference.
Michael O'Leary: I'm not hearing the conference. Hello, Sammy?
Operator: Bear with me just one moment, sir. I'm just investigating for you. [Technical Difficulty]
Operator: Please go ahead, sir.
Michael O'Leary: Larry, sorry about that. For some reason, we kind of got cut off from the conference. I'm not quite sure why. Howard, are you still there? Hello, Howard?
Operator: Mr. Miller has just disconnected, sir.
Michael O'Leary: Well, okay. I'll keep going then. Sorry, tell me, there was some kind of a technical interruption there. Did you get the question answered to your satisfaction?
Howard Millar: I have a little bit, I guess, on the fuel burn, lesser on the yields in the March quarter. So maybe if we can return to that and the FX impact.
Michael O'Leary: Just give me the question again, there, sorry, please.
Howard Millar: So I was just -- I was looking at -- so if you look at the either the year-on-year or the quarter-on-quarter movement in average fares, you might have been slightly disappointed with the March quarter, given that half of Easter at least fell in that period. So I was just asking if there was an FX impact on that quarter from the weakness of sterling.
Michael O'Leary: I don't -- not a material one, but to the best of my knowledge, I think that's a question you might put to Howard offline, if that's okay.
Operator: We will now take our next question from Robin Byde from Cantor Fitzgerald.
Robin Byde - Cantor Fitzgerald Europe, Research Division: Just 2 for me, actually. Just on the UKCC inquiry into the Aer Lingus stake, when are you expecting a ruling on that? And then secondly, just to help with our modeling of cash. Can you guide on debt repayments for FY '14? Should we assume a sort of similar level to FY '13, in other words about EUR 370 million?
Michael O'Leary: Yes. Looking at UKCC first, the timeline, as I understand, that we expect the UKCC to come up with their paper on their initial thinking before the end of May. So it could be some time later this week or the early part of next week. We think there would be further hearings scheduled. We think by the way they come up with some scatty idea that we should be required to pass -- I can't mention if they require that to all of the stake, but there will be some partial sell down. I think that would expose them to a lot of different legal issues that we've covered in our press release. I won't cover them here. My understanding is the time frame moves toward sometime about at the end of July they are making the final decision. But it seems to it appears to be the legal advice, they can't make a final decision why our appeal of the EU Commission decision is pending. Now that's not to say they won't breach that -- they won't do something different to our legal advice, but they're in a difficult situation, given the [indiscernible] of their cooperation. You can -- I can understand how the EU would say there's been clearly -- and competition [indiscernible] the last 6.5 years. We think what the SEC was trying to do was ignore the last 6.5 years of evidence and come up with some forward-looking kind of finding despite the fact that, unusually in this case, there have been 6.5 years of evidence, and they will come up with some kind of model forward-looking thing. We don't know, really, what happened after that. We're kind of in the gray area of why we're repeating the EU decision. We believe they can but finding [indiscernible] is not implemented [indiscernible] until the EU [indiscernible] on its course, but we should have some kind of -- initially, by the end of May, final thinking by the end of -- or some final thinking by the end of July. And thereafter, then the lawyers will have a field day in terms of appealing both of these -- any SEC decision and the EU decision. In terms of debt, where is the debt -- sorry?
Robin Byde - Cantor Fitzgerald Europe, Research Division: Yes, sorry, yes, understood on that point.
Michael O'Leary: Thanks. Into FY '14, we expect kind of gross CapEx in FY '14 mainly aircraft deposit to double about somewhere between EUR 500 million and EUR 600 million. And in terms of debt repayments, yes, we think it's been slightly higher than last year. I don't have the figure here at hand. Howard, are you still on the line?
Michael O'Leary: Yes, we got cut off there, Mike. We had a phone trouble there. So we're back on here.
Michael O'Leary: What we expect the debt repayment in FY '14, would be slightly higher than debt repayment to FY '13, isn't it?
Howard Millar: I think it will be lower, Michael, because we'd be running down the CapEx program and would be only starting up at the back-end of '14. I think our repayments are about EUR 340 million. So that debt should fall by another EUR 340 million, plus whatever we take on for the -- I think, there's 4 -- 11 deliveries coming in that year.
Michael O'Leary: And how much was debt down this year?
Howard Millar: Debt was down about EUR 120 million.
Michael O'Leary: So it would be slightly higher next year than in FY '14?
Howard Millar: No, because we just got the advance payment this year, which we're finding from cash. So we'll paying down another -- about EUR 300 million of debt this year.
Michael O'Leary: Okay.
Robin Byde - Cantor Fitzgerald Europe, Research Division: Just to clarify on the CapEx, so that's gross EUR 500 million to EUR 600 million.
Howard Millar: Yes, it's gross before disposals or any -- say, in the leaseback transactions, so we're guiding EUR 500 million for FY '14, EUR 600 million for FY '15 and about EUR 1 billion then for 3 years, with a final year down in FY '19 at something like EUR 700 million to EUR 800 million. And that's all gross before either disposals or lease returns or certain leaseback transactions.
Operator: We will take our next question from Andrew Light from Citigroup.
Andrew Light - Citigroup Inc, Research Division: A few questions. Well, first of all, on the CapEx, I know this I think 8 aircraft slip from FY '15 to '16, just wondered that's material at all? And secondly, how do think about pricing power now you slowed the capacity growth quite considerably? I think that's one of the arguments used in the past, that even though you were slowing growth, you could optimize the network and boost yields and profitability. Obviously you're not seeing that in Q1, but is that something you could see perhaps in Q2 onwards? And I'm thinking, in particular, as the fuel cost start to come down as opposed from next year, do you have a rule of thumb as to what the portion you would expect to keep versus passing on to customers?
Michael O'Leary: I don't think any as simple as that, rule of thumb, Andrew, I think over the medium term, again it will begin going to meaningful growth connect says inch we're overall in Europe, there'll be no next capacity additions because the flag carrier restructurings. The pricing power has -- will return to the model and you'll see that reflect over the asked year and in the next number of years. You look at in the last year, despite the fact there's been a deep recession in Europe our average, fares improved by 6% during year in which we still grew the traffic by 5%. As you know, we are predicting 5% capacity or traffic growth each year for the next 5 years once the aircraft deliveries resume. And if you can add the kind of meaningful growth in revenue to sort of double-digit 13%, 14% and see profits rise by that then we should be able to do very well. But the reason they kind of formulate pricing power issue there. Somewhat depends on what happens with the competitors, I mean, there was a real need for a jump in pricing particularly, in some U.K. markets last year when BMIbaby closed down when we see those kind of airline closures and now like in Hungary for example, we did rush into the Hungarian market because the kind of vacuum we needed to take up. We do see growth there as meaningful pricing but what tends to happens in-1 year or 2 as you keep adding capacity, pricing softens again. Howard, you have the CapEx issue?
Michael O'Leary: Andrew, I think at the original schedule, we published, and sure, very, very so scheduled the publisher on the Boeing order I think there was 19 originally in FY '15. And there was 27, I think, in FY '16. It was as simple as a typo. It should have read 11 and 35. The CapEx number was calculated, but on one of the schedules in whatever the process there was a typo. So the correct numbers are the ones you have on the slide and the age doesn't affect the gross CapEx because it was correctly calculated.
Andrew Light - Citigroup Inc, Research Division: Okay. Can I just ask on assigned seating, you're running that out 33 to 45 per plane. I mean, how far do you think you can take it, I know you're considering the entire plane kind of the value maximizing that I think easyJet finding, for example.
Michael O'Leary: I suspect not. I think what we'll do is we'll continue to extend the number of seats in our model where we think there's an opportunity to do so. There's clearly a growing flood in the marketplace willing to pay premium for a premium reserved seat. They appear to focus primarily on the front rows, the over wing exits, particularly on longer flights bound to holiday destination, and increasingly worked on now targeting the rear, a couple of seats, where, if you remember, we load and offload front and rear, so they could get off quickly and -- first and get off quickly. We'll continue to experiment, clearly if you've got the kind of 30 rows, we then go completely all reserve seating, it is such a key part of our punctuality in our quick turnaround. The free seating has people down there at the boarding gates ready to board when the aircrafts arrives in. I'd be very loathe to go back to kind of all reserve seating. I know easyJet do that. But remember, easyJet is helping now in a lot of airports where they're fractioning kind of 35 and 40-minute turnarounds. There's a degree of operational efficiency built into that model, by virtue and the size of their operating busy at [indiscernible] controlled airports where they're kind of chasing higher yields. That's really not our business model. But we'll be opportunistic. If there's demand, if we think demand for reserved seating will roll, will increase above the 45 seats because we've allocated, then we can add another row of seats, another row of seats. I suspect that you'll find a level there and I would -- I'd be surprised if we're not pretty close to that level.
Operator: We will take our next question from Donal O'Neill from Goodbody.
Donal O'Neill - Goodbody Stockbrokers, Research Division: Three questions. First one, again, on ancillaries. There's been some speculation and chat around Wi-Fi onboard and that kind of things you guys are investing in. I mean, can you give us an update there? Maybe a follow-on from Andrew's question. What sort of slack is there in the system, let's say, hypothetically, in the summer time to absorb any slippage in turnaround times given the role of the allocated seating? Second question, could you maybe quantify the kind of weakness you're seeing, particularly in April I guess on yields and what that might be in Q1? And the last question is on max order. I understand that Boeing has found a way to get 200 seats on the aircraft. How do that play to you review of placing an order there? And secondly, how do you balance that the higher weight charges, I think it's 3 or 4x heavier versus the NG. Does it mean you have to take out one of the stairs or how do you view this?
Michael O'Leary: Once very quickly. In theory, we have been -- a team working on in-flight Wi-Fi, which I'm very committed to far about the last 4 or 5 years. I think one of the great new kind of territories for in-flight revenue will be kind of Wi-Fi entertainment access. However, we're really not that close to it at all in [indiscernible]. The CapEx cost on the aircraft, which is not huge, but it's meaningful across the fleet of 300 aircraft. The big issue for us in Europe is still the roaming charges, and the problem is there might be states where you have one big market, one big domestic market and Europe is still flying across 24, 25, 26 different international countries, roaming charges and different comms costs are prohibiting the expenses. I expect at some point in time in the next 1, 3, 5 years that somebody would invent some piece of case that transforms all those what are now high-roaming charges and will make Wi-Fi, onboard Wi-Fi at a relatively low cost -- at relatively low -- service that we can provide at very low cost to most of our passengers. As I've said, if I think we can get it on, we think we'll get 50%, 70% of our passengers willing to pay $1 -- EUR 1, EUR 2 an hour for the use of the service, but we have to bring that in at kind of EUR 0.10 or EUR 0.20, EUR 0.50 in terms of provision to make it work. And if, frankly, while working actively and closely. Honest, we're never close to those kind of comm costs yet. So I think it's a kind of a transformational -- communication transformation away yet. Slippage in terms of turnaround times, we're not going to tolerate any slippage in turnaround times. I mean, we don't do allocated seating, but any of the movements we've made in terms of the reserved seating, priority boarding. All of that provisioning takes place prior to boarding. It doesn't affect the turnaround times. What we do is we basically have stratified our passenger base into those that are willing to pay a premium for reserved seating, a modest premium for priority boarding and everybody else. The key to having the free seating still onboard for everybody else when you have everybody down at the boarding gates. And that's having everybody at the boarding gate means we identify the passenger who don't show at minus 10. If they have arrived we have the bags off, we have them off we go with on-time departure, and I would be loathe to hand that over. But if we -- I don't think we would. Allocated seating is the risk to that. So where I think we're unlikely to move to all allocated seating. Q1 yields, it's too early to say yet. But the key for Q1 yield is heavily dependent upon the close end remaining booking for the remaining months, obviously, of May and June. We think there will be lower than Q1 yields last year. A lot of that would be movement to the first half of Easter out into this year's Q4, and I think that's had a meaningful impact on the Q4 and the full year numbers. But more than that, we wouldn't say, I think the best thing to do in terms of guidance is that the Q1 numbers would be down, and the Q1 yields will be modestly down. Boeing, as with everything with Boeing, we are looking at a MAX order. We're also talking to Boeing about some more of their ended line NGs. Boeing have a jet firm built in [indiscernible] when they will kind of how fast these MAX production would be [indiscernible] all wheel from NG production and MAX production, how they wind out the NGs. So that's the debate, that's the thing that we are both studying at the moment. And everything else, by the way [indiscernible] we've been pushing for a number of years to increase the seating there via [indiscernible] one of my great ones is to take out the 2 rear toilets. That gives you 6 extra seats that you get to 189 to 195. Boeing are looking at a number of different alternatives. But it's very early days at this stage. And whether it's additional seats or whether it's weight or whether it's fuel saving, everything depends on price. So we would tolerate any waste penalty, none of it was reflected in a purchase price of the aircraft, and we'd also look at any other revenue-enhancing measures like more seats on the aircraft as long as it's reflected in the competitive aircraft pricing. And so I think we tend not to get too distracted by the technological revolutions. If the other bells and whistles that the aircraft manufacturers like to talk about, we are much more focused on what's the per-seat cost. Is that per-seat cost at higher or lower than our last aircraft? The order and will replacing this order now be enhancing to our shareholders and that's what drives the decision making. Remember, we walked away from Boeing in 2009, we walked away again in 2010. We finally got a deal on 2013, which demonstrates the extent to which we're very disciplined with our aircraft orders. We will wait until we can find not necessarily the [indiscernible] that we get the cheapest price ever. As I said, the last unit will be announced in New York. The pricing of this order was not too dissimilar to the previous order, or the Boeing had been and have got a slightly higher price, but it's right in the ballpark for what we want to achieve.
Howard Millar: I would add to that, Mike, if I may, that one of the issues with the onboard Wi-Fi is the antenna that sits on top of the aircraft. And in the kind of studies that we've done, I've got my head of fuel committee, Rolan, here, is that there's significant drag, potentially up to 2% additional drive for putting the antenna on. So our view is that, as Michael said, that acknowledging needs to change. And the way the antenna sits on top of the plane has to be made smaller so that you can reduce drag. The 2% drag for us, just to put in perspective, will be potentially EUR 40 million a year of a hit and that's not something we would be interested in doing.
Operator: We will take our next question from Anand Date from Deutsche Bank.
Anand Date - Deutsche Bank AG, Research Division: A couple of questions. What stops you from yield managing reserved seating? Are there any barriers there that make it uneconomical? Second one, should we be thinking about the strategy now as you're moving more and more into Tier 2 airports, so moving into kind of more core flag carrier airports? And three, I know it's a long way out, but you're talking about a secondary market, the planes and all this sort of stuff. Is there anything on residual value risk you can comment on? And is there any way you've thought about potentially mitigating that based on the current order for when that comes in?
Michael O'Leary: Yield, I mean, I suppose we probably do win in that sense in yield managed reserve seating. I don't want to be overly yielded. We spent most of our time, in Ryanair, spent maximizing load factors, not managing yield. Quickly we hit our passing target so I always get a bit nervous when people start talking to you about yield managing anything. Do you need to put the price yourself? And I think, that's kind of negates demand. We do price the reserved seating differently on some of the longer routes, on some of those routes where we know we have a higher demand for the reserves seating like down to the Canaries, during the summer or during the peak periods. I wouldn't like to get any further than that. I think if we can continue to keep it in, it's a relatively modest service when I tell you to book a reserved seat for EUR 10. I'd be more inclined to increase the number of seats allocated to reserved seating and therefore, you manage the premium base and you get more seats rather than trying to extract the last $11 or $22 or $35 out of whoever just wants to sit in the front-row seat. So I think we would manage it carefully, but in a way that continues to see the take up of both reserve seating and priority boarding continue to grow. Tier 2 airports, I think it indicates what we've been saying to the market for 20 years. The market have been [indiscernible] from your first rider in 1997 [indiscernible] airports in the middle of nowhere. And we don't connect, if I can offer an airport, now tying the airports in Madrid, Barcelona and Prague [indiscernible] closer than [indiscernible] But it is undoubtedly -- I don't know what your description of Tier 2 is, but if you take away kind of one of being the big congested expense of hub airports who have actually pricing control Heathrow, Frankfurt, Charles de Gaulle, et cetera. We're now into all of the other airports and are potentially to all of the other airports in Europe. Again, I'd look to the German airports, the Nuremberg, the Hamburg, the Dortmund, the Koln, which 2 or 3 years ago wouldn't even talk to us. Now, have seen their traffics implode with reshufflings in Air Berlin, Lufthansa, German Wings and are now talking to us about -- and are aggressively talking to us about connecting their airport and giving them real meaningful traffic growth. I would describe this in Tier 1 airports, but they're now Tier 1 airports that recognize they need to have a low-cost growth strategy, as well as just serving what has for 50 years been the high-fare, high-cost incumbent. And that's very much on the table up in Scandinavia, same down in Italy, across Spain. So I think by waiting and demonstrating that you have the discipline to wait, and I always having 40 other airports where we can grow, if [indiscernible] don't want us, eventually, they work it out themselves and are now calling back to us. The secondary markets for airplanes, look it's a city goes capital-intensive business. They will continue to be cycled. The key thing is to only place your aircraft orders at the time of the aircraft manufacturer needs the order, rather than running out like Air Lingus and [indiscernible] do as historically and always buy your aircraft at the top of the cycle when [indiscernible] is buying or ordering aircraft. I think, again, we demonstrate over 20 years we do have that discipline. I'm less concerned about the secondary markets or aircraft. If you take them in, there's no doubt, we've done a terrific deal with Boeing on our counting 75 NGs. But it's an order for what will ultimately become end-of-line aircraft. Boeing are undoubtedly moving to the MAX. The MAX will be become their replacement short-haul aircraft. We'll finish up with a fleet of 400 NGs. I have absolutely no doubt that over the next 20 years, the value of those secondhand aircrafts will rise and fall on and their safety [indiscernible] every 5 years. And we will continue to, as we have done in the past, exploit those life cycles. We tend to sell on our secondhand aircraft during periods of crazy demand as we have sold probably 30, 40 or 50 aircraft in the last 5 or 6 years maybe in the case in Asia and Russia. We haven't sold any aircraft for the last 2 years. And we would -- but I have equally no doubt that we would be very happy to be an end-user for these aircraft for another 20 years. I think very cheap, very efficient, very income-producing aircraft. And I think our numbers today demonstrates how to operate them efficiently, safely and profitably.
Anand Date - Deutsche Bank AG, Research Division: Okay. So can I ask a follow-up. I should just go and find it. But in terms of your depreciation policy, do you -- I guess get them to zero. I mean, what's the residual value you carry?
Howard Millar: We take a 15% value -- market value, and so that's about $5 million or so -- EUR 5 million, about $7 million. And so it's quite an aggressive view of us. As we know, for example, towards the end-of-line, the engines were probably worth more than the actual total aircraft. I think one of the big things we would see in terms of residual value is that we're not -- we've got such a significant discount to the market price that we are effectively not impacted by long-term residual value risk. It's really those people who are engaged in, I suppose, like the leasing companies who make their gains or losses depending on how the pitch the residual value risk in their calculation of their lease rates. As Michael said, we would expect to be running these aircraft for quite a considerable period. So we take a 15% value and we depreciate the aircraft over 23 years.
Michael O'Leary: 15% of our net purchase price, Howard?
Howard Millar: It's 15% out of our cost price, yes, our net purchase price.
Michael O'Leary: So we depreciate down to 15% of our net purchase price which is probably one of the lowest purchase prices in the market. So it's not based on values.
Howard Millar: Yes, it's not based on this.
Michael O'Leary: It's very conservative and it's very prudent. The proof of that pudding was when we sold the aircraft that we actually realized it again on selling them so very conservatively managed in terms of depreciation.
Operator: There are currently no more questions in the queue at this time. [Operator Instructions]
Michael O'Leary: Okay. I think since we're starting to run late into our investor show. We'll cut it off there, if that's all right with everybody. And we have extended of roadshows on the road all week [indiscernible] at West Coast, down on the East Coast. Howard is actually covering the U.K. We have Jimmy Dempsey, Niel Sorahan and others in Europe. So if anybody wants a meeting, please make contact with us through City Arts in Davies. I would be happy to have a one-on-one with you. And if -- other than that, all I can say is, business is growing well. We have unique opportunity to grow the market, our business in the next 4, 5 years. We think we can at last point to aircraft order, on the 75 aircraft order to address the growth issue with the investors over the coming week, and not insignificant is we expect to continue to generate very strong cash flows, so we expect the resumption of returns to shareholder sometime before the end of FY March '15. Okay, everybody, thank you very much for your time, and I hope we'll see you all at some point in time over the next week. Thanks, folks.
Operator: That will conclude today's conference call, ladies and gentlemen. Thank you for your participation. You may now disconnect.